Operator: Greetings, and welcome to the National Retail Properties First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. MacNab. Thank you. Mr. MacNab, you may begin.
Craig MacNab: Kevin, thank you very much. Good morning, and welcome to our first quarter 2013 earnings release call. On this call are Jay Whitehurst, our President; and Kevin Habicht, our Chief Financial Officer, who will review details of our first quarter financial results, following my brief opening comments. We are delighted to have had a productive start to 2013, with plenty of activity in all areas of our company. The first quarter was another stable, predictable quarter for NNN that speaks about the quality of our team but also about the attractiveness of the net lease retail category. At National Retail Properties, we are sometimes tagged as being boring because we do so many small-box transactions. But sticking to our discipline and continuing to focus on the net lease retail sector is easy when it is fundamentally a very good business and delivers stable, predictable growth. We're of course delighted to again be raising our guidance this year, and Kevin will give you more details of that in a moment. In the first quarter, we acquired the 17 properties investing $43 million at an initial yield of 8.7%. The yield in the first quarter was higher than what we anticipate achieving in the balance of this year, when some acquisitions will have a 7, not an 8, as the first digit. The excellent elevated yields that we achieved are a function of how long it took to close a number of the deals, with the pricing having been negotiated some time ago. Of course, our excellent acquisition offices will tell Jay Whitehurst after this call that these yields are entirely due to their excellent work. We acquired our properties in the first quarter from 10 different tenants. All of these transactions were with existing tenants, which is a very good illustration of the depth of our relationships with these growing retailers with whom we do repeat business. Our press release also describes that we had a productive April. We felt that we needed to provide this disclosure given our active capital markets activity, thus far this year, where we have been very busy, as Kevin will describe. The good news is that our acquisition activities for the first 4 months of 2013 are nicely ahead of both budget and guidance from a timing standpoint, and our initial yields remain ahead of what we anticipated. The acquisition market continues to be robust, and our current deal flow gives me confidence that 2013 will be another good year for NNN. Our fully diversified portfolio continues to be in outstanding shape, with our occupancy remaining at 97.8%. I do want to point out that our lease expirations for the next 4 years are really very, very modest. National Retail Properties continues to be extremely well-positioned. As Kevin will describe, our balance sheet has plenty of capacity for the deals that we are actively evaluating. And finally, the investment spread on these acquisition opportunities remains very attractive. Thank you. Kevin?
Kevin B. Habicht: Thanks, Craig. And let me start with the usual statement that we'll make certain statements that may be considered to be forward-looking statements under Federal Security laws. The company's actual future results may differ significantly from the matters discussed in these forward-looking statements, and we may not release revisions to these forward-looking statements to reflect changes after the statements were made. Factors and risks that could cause actual results to differ materially from expectations are disclosed from time to time in greater detail with the company's filings with the SEC and in this morning's press release. With that, this morning, we reported first quarter FFO of $0.47 per share, as well as recurring FFO of $0.48 per share and AFFO of $0.49 per share. The recurring FFO of $0.48 represents a 14.3% increase over 2012's $0.42 per share. The strong results have allowed us to perpetuate our 23 consecutive years of increases in our annual dividend paid to shareholders, as well as reduce our payout ratio. Additionally, our increased 2013 FFO guidance is projected to result in 7% to 8% per share of growth, at the midpoint of our guidance range, which I'll discuss more in a moment. As usual, the quarter's strong results were a combination of maintaining high occupancy and making new accretive investments while keeping our balance sheet strong. Occupancy was 97.8% at quarter end. That's down 10 basis points from prior quarter and up 30 basis points from a year ago. And as Craig mentioned, we completed $43 million of accretive acquisitions in the first quarter. If you look back over the last 4 quarters, we've acquired over $500 million of properties while, at the same time, improving our balance sheet metrics. Just a few details on first quarter results. Compared to 2012's first quarter, rental revenue increased $14 million, or 18.5%, primarily due to the acquisitions we made last year in 2012. Notably, in-place annual base rent as of March 31, 2013, was $358 million on an annual run rate. Property expenses net of tenant reimbursements for the first quarter totaled $935,000, and that net property expense has been ticking down for several quarters now. G&A expense increased to $8.3 million for the first quarter. That's up from $7.6 million in the first quarter of 2012. It is down from $8.9 million in the fourth quarter of 2012. But, the big picture bottom line on the quarter's results are that the core fundamentals, the occupancy, rental revenue, expenses, they're all performing well, with no material surprises or variances. As we mentioned this morning, we also increased -- announced an increase in our 2013 FFO guidance, to a range of $1.85 to $1.89 per share, which translates into a range of $1.93 to $1.97 per share for AFFO. This $0.04 increase in the top and bottom end of the range follows last quarter's $0.04 increase and was driven largely by an increase in 2013 acquisition volume guidance to $300 million. The timing of those acquisitions is coming a little sooner than originally thought, and as well as the ability to execute capital market transactions at attractive rates. The improvements to our guidance is somewhat offset by an increase in G&A -- projected G&A, to $31.8 million from $31.2 million. Still, again, better than last year's $32.2 million. And a lower leverage balance sheet from a recent equity issuance. But hitting the midpoint of our new 2013 guidance will represent a growth of 7% to 8% over 2012 recurring FFO per share results. $0.08 of noncash adjustments bring the 2013 AFFO results to $1.93 to $1.97 per share, with the primary AFFO adjustment being the noncash interest expense related to our convertible debt and noncash stock-based compensation expense. Turning to the balance sheet, in capital markets. In January, we paid off the remaining $15.5 million of our 3.95% convertible note. Additionally, we raised $164 million of common equity during the first quarter of the year, via our DRIP and ATM programs, which is probably a little more than we initially projected, but we've had strong demand for our shares. And lastly, after quarter end, in April, we completed a $350 million 10-year unsecured note offering with a 3.3% coupon and a 3.39% effective yield. I will note settlement of some hedges in connection with that note offering moved the all-in effective cost to 3.48%. And that offering was helped with some ratings momentum in January as our debt rating was upgraded to BBB+ by Fitch Ratings, and Moody's revised our rating outlook to positive. At quarter end, March 31, total debt to gross -- total gross book assets was 35.7% and that compares with 39% at year end 2012. Debt-to-EBITDA was 4.5x for the quarter, interest coverage was 30.9x for the first quarter and fixed charge coverage, 3.1x for the first quarter. Only 6 of our 1,636 properties are encumbered by mortgages. So, again, despite the $1.5 billion of acquisitions over the past 2 years, our balance sheet remains in very good shape. So we're pleased with how 2013 is starting out and believe we're well-positioned to continue to deliver the consistency of results, dividend growth, balance sheet quality that's supported attractive, absolute and relative total shareholder returns for many years. So with that, Kevin, I think we'll open it up to any questions.
Operator: [Operator Instructions] Our first question comes from Josh Barber from Stifel.
Joshua A. Barber - Stifel, Nicolaus & Co., Inc., Research Division: I may have missed this, I apologize. What is the average cap rate that you've done on the $160 million of deals to date, through April?
Craig MacNab: Josh, we talked about what we closed in the first quarter as being a pretty elevated 8.7%. I did not comment on the April numbers but they were in line with our guidance, which I believe was 7.9%.
Joshua A. Barber - Stifel, Nicolaus & Co., Inc., Research Division: Okay. I guess, especially with the extra raise in guidance, and, Kevin, you were talking before about the better bad coverage ratios. Can you guys tell us what ratios, I guess, you're looking at today? Because you guys, I think, have done a good job in the last couple of years at widening out that coverage. What's an optimal level for NNN to have, in terms of cash flow leverage going forward, that you're comfortable with?
Kevin B. Habicht: I mean, as it relates to the dividend payout ratio, I think we've been pursuing the conflicting goals for a period of time of growing our per share results, as well as growing the per share dividend amount, albeit at a slower pace than the FFO results. So, at the moment, we're probably settling into the mid-80s on FFO and the low-80s on AFFO, and that's probably a territory we're starting to get more comfortable at, in terms of kind of long-term run rate.
Joshua A. Barber - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And you guys have the convert that's, I guess, is puttable to use starting in June. What sort of options -- or, I guess, what would you ideally like to do with that particular convert? Is it easier to just convert the premium into shares? I guess, that's reflected in share count today already. Would you prefer to just pay off the whole thing? How are you guys thinking about that, just for the next month?
Kevin B. Habicht: Yes. That's a good point, yes. I mean, we haven't made any decisions around that, at this point. But, really, have the flexibility to kind of pivot any direction, frankly. But as you importantly noted, the share count is already in our dilutive share count. So, it really has no meaningful impact, and given that it's kind of a midyear transaction, it wouldn't have a big impact no matter what we did or didn't do in 2013. But we haven't made any final decisions around that, but I think all of the options are open to us.
Operator: Our next question is coming from Wes Golladay from RBC Capital Markets.
Wes Golladay - RBC Capital Markets, LLC, Research Division: Can you comment on what is driving the acquisition volume? Is this new relationships or existing in tenant?
Craig MacNab: Wes, it's all of the above. We're always looking for deals where the rent is at or about markets. As a reminder, we're in the real estate business. It just so happens that our spreads are pretty attractive too. But I think the first quarter was a little bit of an anomaly, with all of the deals being with relationship tenants. In April, we broke that track record, so we did do a decent amount of business with a couple of new tenants in the first quarter -- or in the month of April, sorry.
Wes Golladay - RBC Capital Markets, LLC, Research Division: Okay, and which categories are you buying right now?
Craig MacNab: We're absolutely small-box retail and we're going to buy properties in every single category across the spectrum.
Wes Golladay - RBC Capital Markets, LLC, Research Division: Okay. And a quick question for Kevin. What was term income for the quarter?
Kevin B. Habicht: Lease termination fee income for the quarter was $378,000, and that compares with $80,000 in the first quarter of 2012.
Operator: Our next question is coming from Todd Stender from Wells Fargo.
Todd Stender - Wells Fargo Securities, LLC, Research Division: I don't know if you went over this, Craig, but what were the average lease terms for the April acquisitions? And can you comment on who the new tenants are?
Craig MacNab: Yes. We did not cover it but generally with these types of deals, our new initial lease term, and it differs from transaction to the transaction, is somewhere between 15 and 20 years. We're really going to talk about April here in the second quarter. We did sort of skip out of what we normally do to give you this disclosure, especially as we have been very active in the financing front.
Todd Stender - Wells Fargo Securities, LLC, Research Division: And just bigger picture. We hear a lot about convenience stores and casual dining but as you moved kind of downward to currently in your industry portfolio, any current thoughts on any automotive parts and services business? And is that really a business for larger consolidators to create more acquisition of opportunities for you guys in the future?
Craig MacNab: Todd, it's interesting. The good news is right now we're seeing activity in a wide variety of sectors. Just right across the board of what we're looking at. So, our excellent acquisition officers are out there beating the bushes on all kinds of different categories. And our goal is to create a large number of deals from which a smaller funnel comes down for deals that we can close.
Todd Stender - Wells Fargo Securities, LLC, Research Division: And just the properties you sold in the quarter, what tenants were those and what is currently in the bucket that's marketed for sale?
Kevin B. Habicht: Yes, I mean, we only had 2 properties and so it was just kind of at the margin, a couple of properties. One that we decided to sell and it was at a low 7 kind of cap rate which drove the bulk of that number. And then we had one very, very small, basically, land parcel that we sold. So, not a lot of activity there. We also always put some disposition activity list in our guidance, and over the years, we've probably sold more than anybody. We sold a lot of properties over the years. Last year, only about $81 million. But we always assume we're going to sell $30 million to $50 million in any given year. But we're, again, opportunity-driven, in some respects. We actively market some properties but other properties, opportunities arise and we hit the button to sell.
Operator: [Operator Instructions] Our next question is coming from Emmanuel Korchman from Citi.
Emmanuel Korchman: Just wondering what maybe has changed over the last couple of months, since we last spoke, that would make you increase your acquisition guidance? I know that you spent some time working on the deals that closed, so had you assumed that those wouldn't be closing in the year at all, or is there just even more activity out there than you saw a couple of months ago?
Craig MacNab: Manny, it's a fair question. And just a reminder, in terms of building out the current year's FFO, it's a function of 2 different things. One, the volume of acquisitions. But as a practical matter, it's more important, the timing of those. And, obviously, if you can complete transactions through the end of April, you get 8 to 9 months of rent during the year. But, at any point in time, we have a number of transactions which we're working on and I can -- our hit rate on deals is not 100%. So, until they're closed, it's just fruitless to count the chickens. So, as it so happens, we had some nice activity through the end of April and we've got lots of balls in the air at this point in time, but we never count a chicken until the deal is closed.
Emmanuel Korchman: And then, Kevin, you mentioned that timing would be earlier. Is that referring to the stuff that's been completed so far or can you assume that the entire 300 will be more front-end loaded now than...
Kevin B. Habicht: No, it's really referring to what we've done so far. I think our original guidance was around $200 million, $250 million, secondhand weighted. And given that we bumped that up to $300 million, and we've already got $140-million-plus in the bank and completed acquisitions, I just wanted to note that timing shift as well as modest volume shift, as well.
Operator: [Operator Instructions] Our next question is a follow-up from Wes Golladay from RBC Capital Markets.
Richard C. Moore - RBC Capital Markets, LLC, Research Division: It's Rich Moore. I'm wondering, Craig, what do you think of paying a monthly dividend?
Craig MacNab: I see that one of our peer group has moved towards that and we're going to closely follow that.
Richard C. Moore - RBC Capital Markets, LLC, Research Division: You have a couple out there now.
Craig MacNab: Well, EPR has joined Realty Income, and as best we can tell, with our stock trading more than 1 million shares a day, institutions seems to drive the market, not the classic retail holder or revise 100 shares. But we're going to watch it, Rich, and if it helps us get to the promised land, I think we should take advantage of it. But right now, we have no plans.
Operator: [Operator Instructions] There are no further questions at this time. I'd like to turn the floor back over to management for any further or closing comments.
Craig MacNab: Kevin, thanks very much. We appreciate the interest of all of you. We know it's a busy time of year for you. We're going to see some of you out in Vegas, and then there are a couple of conferences, including the NAREIT Conference. So, we look forward to talking you all then. Have a great day. Thank you very but much, Kevin. Cheers.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.